Operator: Good morning, and welcome to Beazley's 2025 Interim Results Presentation. [Operator Instructions] I will now hand over to Chief Executive Officer, Adrian Cox. Please go ahead, sir.
Adrian Peter Cox: Thank you. Good morning, everyone. Welcome to the 2025 Beazley Interim Results Presentation, and thank you for dialing in. I will begin with an overview of our performance for the half year. Paul Bantick, our CUO, will take us through the underwriting section. Barbara Plucnar Jensen, our CFO, the financials, and I will finish with some thoughts on the outlook for the rest of the year. So on to the performance overview. I'm very pleased with this year's half year results. We've generated a profit of $503 million, which is significantly above consensus, and annualized return on equity of over 18% and a combined ratio of just under 85%. That stands up very well against the cohort of specialty insurers across the globe with whom we compare ourselves. Last year's profit was a record for us that still stands, but that reflected a very benign period for large and catastrophe losses, which wasn't the case this year, which so far is probably more normal in this period of eliminated risk. So far, we've seen wildfires in California, Canada and now Europe, a very high number of severe convective storms in the U.S., a number of airline disasters, large individual fires, cyber-attacks across the globe and so forth. The 84.9% combined ratio then is a very strong result, and demonstrates both our ability to maintain margin throughout the cycle and the quality of profits that we're producing from the recent years of strong growth. When we compare that to the D&P, the Dowling & Partners Composite Index with specialty insurance, that puts us in the top quartile of return on equity. And whilst large and catastrophic losses have been more prevalent in 2025 so far, what is pleasing is that our attritional losses have continued to run better than expected as they have done for the last 3 years now, which is testament to the underwriting and claims management of the business we have been building. As many of you know, we don't write U.S. casualty business, by which, I mean general liability, auto liability umbrella and excess casualty, et cetera, which means we don't have the issues being around U.S. casualty reserving both pre and post-COVID that have -- are causing such concern in the market. This is deliberate from us, and it's showing its value. We are and always have been very careful about what products we choose to write and what we do not. Our focus remains on business where expertise applied to the point of sale, both underwriting and claims management has value, where there is decent margins across the cycle in pools of risk that are actually growing fast, and most importantly, where there is little latency. We like to know at the end of the policy period whether or not we have a claim. It makes reserving significantly easier. It's also the primary reason why our growth rate this year is relatively modest. Much of the premium growth across the insurance world has been driven by rate increases in casualty business. And as I said, we're not in that business. We grew by 2% this half, which is a reflection of both of the further increased competition across a lot of our products and the underwriting discipline, which we always exercise. We guided at the end of 2024 to a mid-single-digit growth rate, commenting that the marketplace was competitive but unstable, and that there were many risks bubbling under the surface and that we wouldn't be surprised if opportunities emerge. Well, nothing has happened so far this year that has been significant or unexpected enough to impact market sentiment. So we've grown less than expected in the second quarter. However, we are seeing signs of change in some important segments. D&O rate decreases have slowed down materially. The Aon survey in June, for example, showed just under 2% decline in June, and that's encouraging. The cyber market in the U.S. also flattened in the summer. We have remarked that margins have been compressed over the last couple of years, driven by both rate decreases and a rise in both cybercrime and liability losses, and this is feeding its way into underwriting behavior, also encouraging. Our team deliberately went out with flat renewals at the 1/7 renewal season, and that's stuck. And that gives us some optimism for the second half of the year. And in the U.S. property market, which has been very competitive for the last 12 months or so, we're also seeing signs of stabilization. So the market is behaving relatively rationally, and we're optimistic that there will be further opportunities in the second half. It is easier to grow when underwriting pricing is more consistent across the market. Paul will take you through the results by division, but I wanted to highlight the fastest brand platform was our European one, in line with our strategy; and the fastest-growing division is MAP, fueled by rising demand, particularly in contingency and political risks, terrorism and war. The latter a reflection of the high levels of geopolitical risks that we've been narrating for a little while now. In other news, despite the quite volatile period in the investment world, our team have managed to gain an investment profit of just over $300 million, equivalent to 5.4% annualized return, and we're just under halfway through our $500 million share buyback, and are on track to complete that program by the end of the year as planned. And with that, I'll hand over to Paul.
Paul J. Bantick: Thank you, Adrian. Good morning, everyone. I look forward to walking through how our underwriting trading teams are progressing as well as a few other highlights and of course, a few extra cyber details. Adrian has already mentioned the importance of the delivery and strategic decisions we make around our product set. And so we thought we'd show some additional granularity on assets. We typically show you our 4 main trading divisions, Cyber, Property, MAP and Specialty when we refer to our product portfolio, but today, we're going to a level below that. And what you can see here is a chart that breaks down our distinct 18 lines of business within those divisions. This granularity is extremely important. It reflects the true breadth of the business we write and importantly, the diversification that we have, which spans over 50 individual products and business plans that we work on each year. These are products and business lines that we have strategically selected because they are aligned with our specialty expertise, but also are the best mix to drive long-term growth as well as profitability. Through the market cycles, we optimize our portfolio so that it includes a healthy mix of both short-tail and long-tail lines of business. which is spread across a wide range of geographies and products. This enables us to manage risk dynamically and respond to some of the market conditions Adrian has been talking about with agility. What we're really highlighting to you here is the optionality that we have through such a broad and balanced product set, we're really locked into any single market cycle. Instead, we have the flexibility when we need to, to lean into areas where the risk reward meet our requirements. That's a key part of how we manage the cycle. How we deliver consistent performance and even in some volatile conditions. It's not just our product portfolio, though that provides strategic flexibility. Now I'm going to turn to how our platform position across key specialty markets enables us to deploy that optionality effectively in response to varying market conditions and cycles. It's not just about what we write. It's also where we write it. Different products can and do experience different market conditions and rate dynamics on a geographic basis. We've already heard that about cyber. Those dynamics and opportunities can shift very quickly. That's why having access to risk across our 3 core platforms is so important. Europe, our newest backbone, currently offers strong growth conditions, as Adrian mentioned, with rate adequacy supporting disciplined expansion that we've been underway there on for a few years. North America, the largest specialty insurance market for the types of risks we write, provide scale and diversity with both our admitted and E&S carriers domiciled in the U.S. we're really well positioned to respond across the full spectrum of market conditions. And finally, global sale, where dominantly via Lloyds remains a consistent contributor to profitability, though rate pressure in part of the book has required a more cautious approach in the softening market cycles. The greater our geographical reach, the more flexibility we have in order to respond to changing conditions, pivoting quickly when needed and maintaining discipline where required. This is really central to our ability to manage the market cycles effectively. Moving on to property. So our approach to property risk continues to evolve in response to market conditions and the change in shape of our business. It's a business that the team grew fantastically well in recent times and there continues to be good opportunities. The global wholesale platform, particularly in London and Lloyd's, has faced the most challenging competitive and rating environment. This is where we typically see larger, more complex risks and where we've been managing our exposures and thus premiums due to rating adequacy. This is something we've managed before and it's not unusual with market cycles in our wholesale platform. In contrast, we've seen 6% growth in North America where conditions remain more attractive. As an E&S carrier that originally accessed this market via Lloyd's, we've historically worked closely with wholesale brokers in North America, but we've been rapidly expanding our engagement with retail brokers, which is broadening our access to risk and open up a new distribution channel for us. That said, the risk we're writing in North America tend to be smaller in scale and premium than those coming to London and the wholesale market, particularly during the recent harder market cycle. So while we're increasing opportunity and reach, the overall impact on group growth is more modest at this stage driven by the lower average premiums. Importantly, our long-term view of the opportunity remains undeemed. We're building a more balanced and resilient property portfolio, one that gives us more flexibility to respond to market shifts while maintaining our underwriting performance. We've now fully established the team in Europe that will start to write more from the 1st of January next year. Shifting to Cyber. Our Cyber portfolio continues to affect the varied market dynamics across geographies. Europe, U.K. and Asia Pacific have continued growth drivers this year, supported by a stronger rate adequacy and disciplined expansion. The book has been growing well, but it does remain a smaller part of our overall Cyber portfolio. So while the conditions are attractive, the impact on group level growth is still modest, but the international book is rapidly becoming more significant in total. North America, which represents the largest portion of our Cyber work, has faced the most challenging rate environment for some time, as Adrian said. It's a crowded marketplace with intense competition and elevated claims activity. Since 2023, the market has been experiencing rising frequency and severity, leading to sustained margin pressure. Many reports suggest the U.S. cyber market shrank in total premium size in the past year. While we can't pinpoint exactly when the broader market will react, but we recently focused now July renewals to change, which is the biggest renewal period of the year. They showed early signs of this change with rate beginning to flat in North America and retention of accounts stayed within our normal acceptable range. That's very encouraging after many quarters of negative rates since late in 2022. We're going to continue to model these conditions closely as we move into September and October. The Cyber team has still delivered a very strong combined ratio. The recent lower levels experienced were driven by the hard market rate we achieved in 2021 and 2022, combined with reduced frequency and severity of claims. We never anticipated combined ratios in the 70s will continue indefinitely, and we are now seeing a normalization, but 82.3% is a significantly strong result for line, still well within our hurdle rates across cross-cycle ROE targets and considering rate pressure, one we're very pleased with, and we think demonstrates our discipline and expertise. What's clear from the high profile events reported in the first half is that the claims environment is far from benign in Cyber. These incidents have reinforced the need for cyber insurance and the importance of maintaining rate adequacy, risk selection, discipline and the cyber services and ecosystem that we've been so hard building over the recent years to protect long-term profitability. And speaking about high profile events, we wanted to dig into the threat environment a bit and provide a reminder how we manage our Cyber book in response to the evolving risk. What we've seen, in the first half of 2025, is a different dynamic in the nature of cyber losses. In 2024, the most widely reported and picked up events were systemic in nature. Large-scale incidents impacting multiple insurers, such as software vulnerabilities or platform-wide outages. Our exposure to these events is well managed, and in total remain at lower levels that I will detail shortly. In contrast, 2025, we have seen more attritional losses involving individual insurers affected by ransomware data breaches. These on the right-hand side are examples of the big public losses, and does not mean we are the insurer. Another notable change is geographic. In 2025, we've initially seen more cyber-attacks outside of North America, particularly in Europe and other international markets. This is as we predicted, and our experts cyber counsel suggested to us at the start of the year. The cyber threat can shift reasonably quickly with the geopolitical environment around the world. And given some recent changes, we do anticipate it may swing back to be more focused on North America in the coming months. Managing this evolving threat landscape requires deep expertise. It's not just about underwriting discipline, it's about understanding how different types of events behave, how they aggregate, how the thread is moving, agility in your underwriting and how to structure protect you accordingly. To help clarify, systemic losses can trigger multiple policies and accumulate quickly, but we've been managing exposures for years and have a well-established approach for these events. For example, if you look at the 2024 systemic events, our net loss was modest, CrowdStrike, $17 million; Change Healthcare, $14 million; and CDK $28 million in totality. This demonstrates our ability to manage potential aggregates effectively. Attritional losses, on the other hand, are typically one limit losses. While headlines may reference policies with coverage in tens or hundreds of millions of dollars, the reality is that our net average line size is $1.7 million. And even our maximum net limits are below $10 million in 99% of cases. As Adrian said earlier, our attritional losses continue to perform well across the business, and this disciplined approach combined expertise ensures that even in a more active claims environment, our exposures remain well managed. Moving on to talk about cyber protection a little bit. Our cyber protections are designed to respond to biosystemic and attritional risks, using a layered and approach that reflects the evolving threat landscape. For attritional risks, frequent, lower severity events affecting single insurers. We use proportional reinsurance, which shares premium losses with our partners, helping smooth volatility, cyber aggregate stock loss, which caps the total cyber-related losses over a period protecting against the cumulative attritional impacts. The systemic risk, events that impact multiple insurers simultaneously, we deploy excess of loss cover, which protects us above the set threshold. Cat reinsurance, which responded where multiple policies are triggered by a single event. Cyber catastrophe bonds, which had extreme risk to capital markets. We've spoken about these many times in our CMD days as well. Our industry loss warranties, which trigger based on market-wide loss events. Cyber aggregate stop loss, which also acts as a buffer against systemic accumulation. And man-made catastrophe loadings within our reserves, which build resilience against human-driven systemic events, very similar to how you would in natural catastrophe of property. The systemic events described on the previous slide were relatively modest in impact, but it's important to recognize that systemic events has potential to result in higher losses. Whether we're dealing with the modest events or something approached a 1 in 250 life scenario, this is a risk we're constantly thinking about in our pricing, modeling and overall portfolio management. As we already showed at our Capital Markets Day, we built over $1 billion in systemic cat protections in addition to other reinsurance, and we'll continue to do so. Together, these protections ensure we can respond effectively to a changing threat landscape, whether it's a single ransomware attack or a widespread platform failure. Moving on to Specialty risk. Specialty risk has shown a variable growth profile over the past 12 months, closely tied to the broader market conditions that they've been experiencing. In half 2 2024, the divisions surprised us with stronger-than-expected growth, driven by short-term surge in capital markets activity, particularly IPOs and M&A. However, the first quarter of '25 was notably challenged as volatility in capital markets subdued, demand for many of the products in this division had the same impact. Q2 provided a window of opportunity with improved conditions to form a rebound in activity. That said, we do expect second half to moderate with full year growth anticipated to be flat to very modest. It's important to note, the starting point for the premium in half 2 is significantly higher than it was a year ago, which will naturally subdue year-on-year growth comparisons for the second half. On the profitability side, the half year '25 combined ratio has improved compared to last year, largely because we've seen the impact of adverse development as a result of some changes to our reinsurance contract, which was a one-off impact that we described last year. We remain extremely bearish to social inflation exposed parties and have continued to reduce our exposure further, and we have been doing this for some time now. Overall, this is a division that responds quickly to shifts in market sentiment. While the outlook for H2 is more muted, we remain confident in the long-term relevance of our specialty offerings and our ability to respond dynamically to the changes in demand and the increases that we anticipate to come. As Adrian already said, we're extremely pleased with the performance of our MAP division in the first half. And while the result is excellent, it's not entirely unexpected. We've been saying for some time that there is strong and sustained demand for the MAP product set, which includes cover for war, terrorism, political violence and contingency. Given the ongoing geopolitical uncertainty and global conflicts, this demand has intensified. What's different this year is that the underlying performance is now clearly visible in the group numbers. In recent years, MAP's results has been impacted by the replatforming work we've been undertaking, which has masked the true performance of the team. This is the first time in a while that a reported result is fully aligned with the team's delivery. And as you can see, it's excellent. The combined ratio of 82.4% is a standout result, especially in a class of business that deals with such complex and potentially volatile risks. It again reflects our disciplined underwriting, our ability to manage aggregates and commitment to long-term profitability. It's also worth noting that last year's call was flattered by prior year releases, our legacy of the COVID years when claims activity was unusually low due to grounded aircraft, full shipping and canceled events. That environment has since normalized. So this year's result is a much clear reflection of the underlying strength of the MAP portfolio. I'll now hand over to Barbara to walk through the financial performance.
Barbara Plucnar Jensen: Thank you very much, Paul. Well, I'd like to take you through our financial performance in the first half year. And I'm pleased to say that the half year results reflect the strength of our underwriting discipline combined with a very strong contribution from our investment portfolio, as Adrian also mentioned. We delivered a 2% top line growth in the first half. The global underwriting environment is increasingly competitive, as you have heard today and seen in our results in the past. But as you've seen in our results in the past, we're maintaining a disciplined approach to rate adequacy and risk selection, which is deeply embedded in our DNA. Our net growth is impacted by reinsurance as part of our proactive approach to managing our tail risk and protecting the balance sheet. In the first half of '25, we decided to purchase additional property excess of loss cover and hence, our net growth ends up being slightly lower in the first half. All else being equal, we expect the difference between gross and net growth to narrow. With regards to claims, our ratio increased to 46.7%, up from 45.1% in the first half last year, in line with expectations. Attritional claims experienced in the first half of '25 were better than expected, and the performance this year reflects a more normalized environment as well as the world is experiencing a number of catastrophe events such as the California wildfires and the other events that both Adrian and Paul have been talking about. As we mentioned in our release, the IFRS 17 expense ratio has increased this year as a result of variable incentive awards. There are 2 main drivers for the year-on-year increase, you see. Firstly, we're now recognizing these awards within our accounts earlier in the year. So that's a timing impact. But secondly, the very strong performance over the last 3 years has resulted in an increase in variable incentive payments. We have a very unique way of rewarding our underwriters. Variable award payments are based on the profitability of a particular year of account, with the first payment made after 3 years. As well as acting as a powerful talent retention tool, it encourages our underwriters to remain disciplined with a focus on long-term profitability. This ensures that their interests are completely aligned with those of our shareholders and further reflects the depth of our commitment to underwriting discipline. The total expense ratio, which includes unattributable costs, has seen an increase as we continue to invest in technology and scalability to bring long-term efficiencies. I'm very pleased to see the undiscounted combined ratio of 84.9%, aligning well with our guidance of a mid-80s for the full year. I believe this is a strong performance given the current market conditions. As you can see, our investments delivered a positive contribution to our earnings, with the result of $308.5 million, equal to a return of 2.7% in the first half, up from 2.4% in the same period last year. Combined with a growing investment base, this resulted in a 22.6% year-on-year increase in the investment income. Net finance income has moved to an expense position this year, reflecting the falling yield curves, whereas we experienced increased interest rates in the first half of 2024. All in all, this is a very strong result. Profit before tax came in at $502.5 million. Last year was an exceptional year. And just as a reminder, it increased by 99 compared to the first half in '23, and what we consider is the first half of '25 remains a standout performance in a more normalized environment. It's a clear demonstration of strength of both our underwriting and investment engines working in tandem. I'll now take you through some of these areas in more detail on the following slides. On this chart, you can see that our reserve strength remains consistent, well within our preferred 80th to 90th range. As a reminder, what you see on this page is the risk adjustment percentile, which indicates the strength of reserves held across the best estimate and risk adjustment. At half year '25, this is at 85%. Using the TMM accounting methodology under IFRS 17 means that our risk adjustment takes into account both the earned and the unearned business. As a consequence, at half year, the risk adjustment also includes the business that will be earned in the second half of the year and the allowance that is held in respect of the upcoming catastrophe season. As we progress through the second half of the year, we gain more certainty, and like in previous years, all things being equal, we expect the half year percentile to reduce by year-end, and we absolutely expect to continue to remain within our preferred range. We provide detailed disclosures regarding the prior year claims development at year-end. However, in the first half of the year, in aggregate, reserve movements arising from prior periods have not had a material impact on the results. Despite very volatile financial markets in the first 6 months of the year, the investment portfolio made a positive contribution to earnings, with a return of 2.7% for the half year or $308.5 million. The elevated fixed income yield environment contributed positively to the performance of our portfolio where a predominant part is placed in fixed income to match the liabilities of our business, and hence, this was the primary driver given our large core allocation. The surplus portfolio performed really well in a period of elevated macroeconomic and geopolitical volatility, benefiting from the diversification by asset classes. Securitized and high-yield credit added value as spreads fell in the second quarter and our equity and hedge fund portfolios also added value. Here, you can see that as at 30th of June '25, the investment portfolio amounted to approximately 11.5 billion, which is flat compared to year-end '24, but up 8% from the same time last year. As mentioned, the majority of our portfolio is set up to match our insurance liabilities and ensure liquidity under all market conditions. This support -- and to support this, we maintain a significant allocation to core fixed income, and this part of the portfolio continues to benefit from the elevated yield environment. In the first half '25, the current yield on the fixed income part was 4.1% with a duration of 1.6 years. In 2024, we initiated an allocation to securitized credits, and we've added to that position in the first half of 2025. Our focus has been on the highest both tranches, AAA and AA of collateralized loan obligations, which offer attractive risk-adjusted returns. Within our surplus or capital growth portfolio, we have applied a diversified asset allocation to generate additional returns while reducing risk where it's not adequately compensated. In the first half of the year, markets have been volatile and our return of 2.7% is a testament to our strategy, and we remain confident in the portfolio's positioning to meet our investment objectives while managing market risks effectively. I'd now like to go through some details regarding our insurance finance expense and income or the IFIE as we call it. This reflects the impact of discounting over the period. For the first half of '25, the IFIE is an expense of $95.8 million. Breaking this down, you can see that the first purple bar shows the unwind of discount up for the time value of money, essentially the expected cost of moving forward in time. This was an expense of $118.4 million. The second bar, purple bar reflects the impact of changes in yield curves. As opposed to last year, yields fell during the first half year in '25, resulting in an additional expense of $31.8 million. The third pink bar is then representing changes in other financial assumptions. And in the half year '25, it is an income of $54.4 million. This includes differences between actual and expected cash flows as well as updates to payment patterns. Please remember that this can be a positive or negative. And to provide greater clarity on this line of item, we introduced a supplementary disclosure in our Q1 trading statement to provide greater clarity, and we will continue to provide this update in our quarterly statements going forward. We do acknowledge that it's a difficult line item, which is hard to project. If we then look at the next slide, we have a reminder of our capital strategy. Our starting point for considering capital distribution is an ambition to maintain a minimum threshold for the SCR of 170%. And when deciding how much capital we should hold above that level, we consider a number of factors. First and foremost, we are a growth company. We seek to use our capital for sustainable, profitable growth, which can generate an ROE of 15% across the cycle, taking into consideration growth opportunities on a 2- to 3-year horizon. In a softening rate environment, where opportunities for organic growth are more limited, we would also look at ways to deploy capital in support of long-term opportunities, for example, by acquiring for capability or access to risk. Secondly, as a specialist insurer, we also factor in capital to be able to manage peak tail risk and absorbing volatility. I'll provide some more details on this on the following page. However, overall, we take into account the considerations on the commercial agenda as well as risk management. And in the case we have excess capital available, we would anticipate capital distributions in the form of a share buyback, special dividend or a combination of both. The decision around this is made on an annual basis. And as we have demonstrated this year, we are returning a total of $700 million, which demonstrates our commitment to distribute capital. Finally, at half year, we provide an estimated SCR to the market, which consists of the previous year-end position, along with the own funds generated in the first 6 months of the year. At 30 June 2025, this produced an estimated Solvency II ratio of 287%, which includes the previously announced $500 share buyback. Typically, we would expect to see a lower SCR by year-end, reflecting increased capital requirements either due to funding our planned growth or to account for reduction in own funds generation. I wanted to highlight this point because last year was an exception to the rule. Our record profit meant that our SCR increased at year-end 2024 versus the half year. However, we do not expect a repeat of this in 2025, and anticipate our capital position at year-end to be at a more normalized level or else being equal. Looking at the half year position at this stage, you can see the resilience in our current position, which enables us to absorb volatility and an extremely important part of delivering long-term sustainability in our results. On this chart, you can see that even after allowing for a 1 in 250 event, either cyber or nat cat together with a 50 basis points decrease in interest rates, the capital cover ratio remains well in excess of the 170 percentage floor. these sensitivities remain broadly consistent with those disclosed at year-end '24, with a small increase in the Cyber 1 and 250 from 29% to 32%. The nat cat scenario decreased from 31% to 27%, supported by the additional excess on loss purchase I referred to at the start of my section. The interest rate sensitivity remains at 12%, which is prudently calculated based on the pre-distribution capital cover ratio. This concludes my comments on the financial performance, and I'd like to hand back to Adrian to conclude on our presentation, including the outlook for the remainder of the year.
Adrian Peter Cox: Thank you, Barbara. Thank you, Paul. Right, so outlook on the markets remain unstable, we live in interesting times. Our mission is long-term underwriting profitability that will drive our behavior, and we will manage the cycle prudently at all times. We've demonstrated this repeatedly over the decades that we know when to grow and went to not. We are positioned in areas of increasing demand, and as I remarked earlier, there are some signs that in some of the important segments for us, markets are getting much less frothy, and this will make it easier for us to grow a little faster in the second half. That growth will be focused on areas where rates remains adequate and the risk reward best. Having said that, we do have to recognize that our growth in the first half was in the low rather than the mid-single digits. So we are updating our full year guidance from mid-single to low to mid-single digits. Alongside that, though, we continue to see new products and new ways to access risk and have some investments in the pipeline. We will share some of this in our plans for the future at this year's Capital Markets Day in November. It's important that we don't sit on our hands or rest on our laurels and continue to innovate and to evolve. Please book your tickets early to avoid disappointment. Our guidance for the full year combined ratio remains at mid-80s. This assumes continued average large loss and catastrophe activity. If the attritional losses continue to perform better than expected as they have done in recent years, then we will lower this to the low 80s, but we'll update you on that at Q3. I thought I'd finish, if we move on to the last slide, with a one page about us for those who may be less familiar with the Beazley story. We are a specialty insurer with a diversified portfolio of products, as Paul demonstrated, where expertise applied at the point of sale adds value, where there is complexity, risks or new or changing or volatile. Our long-term growth rates reflect a growing specialty insurance world, a compound growth of over 10% over the last 10 years. And we were recognized last year as the #5 globally by Time Magazine for sustainable growth. We're able to do this in a way that drives returns that are appropriate for the specialist nature of what we do, 15% over the last 10 years, and consistently profitable. Only once have we made a loss in our history during COVID. And also in a way that allows us not only to grow the business and its value, but also returning excess capital consistently to our shareholders, over $1 billion in the last 2 years alone. And with that, I will open up to Q&A. Thank you very much indeed.
Operator: [Operator Instructions] We'll now take our first question from Vash Gosalia from Goldman Sachs.
Vash Gosalia: I have 2 questions, please. So the first one on reserves. Actually, can you give us a sense of how are your reserves developing? The context for this is just we've seen some of your peers release results from past events. So just trying to understand, is it conservatism at your end? Or are you seeing some development which makes you believe it's better to -- well, or it's adequately reflected in results? And then also just in relation to this, and probably this is a bit of lack of my understanding, is the fact that you have not released reserves related to your change in assumptions on IFIE, basically, where you said that you expect a different payment pattern. So if you could just help unlock that, please? And then the second question on capital returns. So I fully appreciate the comments you've made and the fact that you have a CMD later in the year. But just trying to understand, how does the lower growth that you have guided to in the half sort of impact your next year business plan? And where do you expect solvency to be by year end? So any sort of color comment on this could be really helpful.
Barbara Plucnar Jensen: Well, thank you very much for those questions. If I start on the reserves, you were asking whether or not we had releases helping our results in the first half year. I would say no. In aggregate in the first half of the year, reserve movements arising from prior years have not had a material impact on our results. So we are very comfortable with our position and our approach to releasing, and strengthening remains the same. On the capital returns, we have a CMD later in the year, and that will allow us to provide some more details in terms of how we see the future. You're alluding to the use of capital, and we'd like to invest this in future growth opportunities. So you can say one thing is the organic growth. And then as we have alluded to, we will also give some updates in terms of what we're thinking in terms of new growing areas of risk that we would like to pursue and also distribution capabilities. So we will give you a further update on how we plan to invest in the continued growth prospects of our company.
Adrian Peter Cox: We tend to release more in the second half than in the first half, generally.
Barbara Plucnar Jensen: Yes, on the reserving...
Adrian Peter Cox: On the reserve side.
Vash Gosalia: I see. So that was my follow-up because I was a bit curious as to why are we not seeing the release at Beazley given a lot of your peers have seen reserve releases, but I can wait till 2H and hopefully, we'll see something there.
Operator: We will now move to our next question from Shanti Kang from Bank of America.
Shanti Kang: I just had 2. The first one is just on the top line growth guidance that you trimmed to low single digits -- sorry, low mid-single digits. Could you just walk us through the key drivers of that change and which segments, in particular, you expect to pull back most on? And then the second one was just on the cyber combined ratio which deteriorated quite substantially year-on-year. I can see that, that's cited as a normalization towards an 80s sort of range. But what really drove that deterioration? Because it seems like quite a jump year-on-year. So just to understand that. And then does that really impact the full year core guidance that you've given, just given that there's been a change?
Adrian Peter Cox: Great. Thank you for those, Shanti. On the first, I think it's -- as Paul said, we expect specialty risks to be flatter in the full year than the half year. I think Paul mentioned that earlier. We continue to expect growth in Europe and in MAP, and as we said, we expect -- we're seeing signs of -- encouraging signs of change in the U.S. cyber market and in D&O, driven partly by more capital activity, capital markets activity, but also in a sort of a change in underwriting sentiment. And so we expect those segments to grow more in the second half of the year than in the first half of the year. And so -- but we have to recognize the fact that our growth in the first half was 2%. We expect the second half to be more single digits or mid-single digits, and those 2 will average themselves out. I think the change in the cyber combined ratio is a reflection of the fact that we had some very strong reserve releases from prior years this time last year in cyber. We have had less of that this year, but that's not surprising because we're releasing from the very hard market years of 2020 and 2021, but the accident year loss picks for Cyber remained very, very strong, and so we expect a good full year performance from that team. And so our combined ratio guidance remains mid-80s overall. But as I mentioned earlier, if the -- if we have normal catastrophic activity in the second half of the year of average cats, and our attritional overall continues to be better than expected, which has been for a few years now, we will be lowering that to low 80s in Q3.
Operator: We'll now move to our next question from Kamran Hossain from JPMorgan.
Kamran Mark Hossain: My first question is on the attritional, I think it's really good news that if you get to Q3, and attritional claims come in below that you'll kind of increase the guidance. I just really intrigued kind of -- I think I've asked you this probably for the last 2.5 years. Why are you not banking the attritional kind of better-than-expected performance? Because it's not just been the first half of '25, it happened in '24, it happened in '23. From my memory -- I mean I'm not sure my memories goes by that far, I feel like you had some of that in 2022. Why are you not banking that? Because it seems like it's just a recurring thing that seems like you could count on. The second question is on the growth in Solvency II. I just wanted to kind of clarify, I'm slightly confused. It sounds like you're very excited about some parts of growth. You're saying the Solvency II ratio will be impacted, will come down for the kind of growth, but you've changed the growth outlook today. Is the mid-single digit the right way to think about maybe H2, if H1 was kind of 2, you get the uplift to mid-single digit, so you end up somewhere in between. And is that a reasonable run rate kind of going forward? And if I could sneak in like a half question in. A lot of disclosure on the cyber services revenue. What's the potential for that to kind of grow from this point onwards?
Adrian Peter Cox: Great. So I'm not sure how to answer the first question, Kam, other than the same answers that we gave before, which is that we like to reserve prudently and don't bank in -- don't bank on better-than-expected persisting. We do have a number of loans that we're applying to our loss picks to account for things like social inflation and higher-than-expected economic inflation, geopolitical uncertainty and all that kind of stuff. And so part of that is those things unwinding if they don't manifest themselves. I think it's prudent to maintain those specific loadings because we are in a period of heightened risk, I think. The way that you've articulated our growth is exactly right. We're expecting more single -- more mid-single-digit growth in the second half of the year, and that will kind of average itself out. I think what Barbara was referring to earlier, and correct me if I'm wrong, is that what happened in the second half of last year is not only did we have some very good results, but some model changes meant that our capital requirements also came down.
Barbara Plucnar Jensen: And interest rate movements helped.
Adrian Peter Cox: And interest rate movements helped as well. And we're not banking on that in the second half of this year either. So we just kind of wanted to make the point that there was some one-off things happening last year. And Paul, do you want to talk about our very exciting cyber services revenue?
Paul J. Bantick: Thanks. You could see that disclosure for the first time and you've been asking for that one even longer than you've been asking the other question. But I think that -- I think it's great to see, it's now obviously more meaningful to us which is fantastic, which is why you're seeing that for the first time. In terms of potential, just a reminder, this was never above the revenue, this investment, right, this investment was about having a service of the company available to our ecosystem that supports the wider cyber business on all the insurers and clients and brokers that we have. What we are now showing and we always said could be possible was that there would be the ability to build a business around that and generate some risk-free revenue. It's great to see that happening, it's secondary to the cause of Beazley security. It continues to expand. It's a growing company. It has now over 75 people within the company, has a management team that's relatively new, that's been in place for a couple of years now, 18 to 24 months that's showing all the success. It's had a lot of focus on partnering with our brokers, working with the underwriters to understand our distribution and our insurers. So we're extremely excited and like I say, we'll know more on the potential in the coming years. But so far, it's been a great start.
Barbara Plucnar Jensen: And it allows us with the insights end-to-end across the whole cyber.
Operator: And our next question is from Will Hardcastle from UBS.
William Fraser Hardcastle: First of all, just thinking about mid-80s combined ratio and obviously, potential on nutritional or not. But let's assume your attritional doesn't move. I guess how do we think about that negative rating impact, that's not one-for-one or anything like that. But is there a sufficient mix shift here looking beyond 2025 that could allow us to hold on a sort of run rate level? Or is just the natural market cycle dynamic, putting a little bit of added pressure on that on a go-forward basis? And the second one is just thinking about those outlook comments that you made, the evolution of the business to stay flexible to adapt to a changing risk environment. Not that you're going to tell us what you're going to say at the CMD or anything, but how do we need to think about this? Is it people, product, infrastructure, should people step away today and think is there a potential for acquisitions here to be thought about?
Adrian Peter Cox: Okay. Will, thank for those questions. So will the combined ratio in the future be impacted by rate decreases today? Yes, it will. I think our performance today is partly reflections of the performance of our prior years because insurance profits take time to earn. We are very confident in our prior year reserve releases. Barbara mentioned earlier that our average duration is only 1.6 years now. So it's a relatively short tail book of business overall. And the fact that we don't have any occurrence liability makes reserving much easier. And having just been through peer review, our passbook is in great shape. I think what Paul was trying to articulate is that the optionality that we have across both platform and product will allow us to pivot to make sure that we protect that margin as best we possibly can. And we do target a 15% combined ratio across cycle, and that's our mission to be able to do that, and we'll have to -- that cycle management is a core part of that strategy. So hopefully, we'll be able to maintain that as long as we possibly can. But you can't take over the fact that rate will have an impact. But it tends to be, when it's compounded over a period years that it has more of an impact on future profitability. On the investment side, I think Barbara mentioned that we've always looked to bolt on things that create value for us either in capability or in reach. We've bought a number of MGAs in the past, for example, and we are looking at some as we always have. I think the bulk of our investments will always be in organic growth. And so what we'll be talking about in November is our thoughts on both of those.
Operator: We will now move to our next question from Chris Hartwell from Autonomous.
Chris Hartwell: Just a couple of very quick questions from me. First of all, on cyber, and apologies, Paul, I don't know whether you were talking faster than I could think. But I think you said that obviously the 70s combined ratio historically were not sustainable. I was just wondering, given that, that is your peak peril, I mean when you get to -- I mean, what sort of combined ratio becomes, I guess, more marginal from a profitability perspective? That's my first question. Second question, I was wondering just on the solvency, if you can give a little bit more color on the various components of the owned funds sort of walk and obviously appreciate the SCR doesn't move through the first half. But also, I think, Barbara, you said something around sort of your expected development in SCR through the second half, which sort of suggested to me that we would see a faster than expected -- a faster decline in the solvency ratio through H2 than we saw last year, I guess. So I wonder if you could just clarify that, please?
Adrian Peter Cox: So Chris, great. I love those questions because I'm not answering either of them. So Paul, you take the first one.
Paul J. Bantick: Yes, you're right, the cyber combined was absolutely amazing at the 73% previously. And as Adrian said, and I said earlier, there's a couple of things driving that, and is the unwinding of the very hard market we experienced in 2021 and 2022, we got over 300% compound rate over those couple of years, which is remarkable. But then you've got a factoring that was also combined with suppressed frequency and severity for quite a period of that time on the claims side with cyber due to things like the Ukraine and Russia war when it started. We saw threat actors move to maybe not focusing on hacking so much, but to other war-like activities, which suppress the claims that we were seeing. So those 2 things will ultimately delivered that lower combined that we've experienced for a little while. It has moved to more normalized levels now, which is what we expected, which is a combination of its been a little bit more of a competitive market to bring that rate down a little bit. And we did say that we thought we overshot the rate in certain parts, and we would give that back. And also more normalization of frequency and severity. We've seen, from the slides I showed, hopefully, some of the more attacks that have been more recent. To your question, where does the 90, is really where you want to look at from the combined ratio into where we look for it to sort of start to get to where we would see that we would need perhaps a little bit more action and where we would start to ask more questions.
Barbara Plucnar Jensen: Good. And if I go to the solvency questions, Chris. I think what my point was to relate to the fact that last year, we saw an increased solvency ratio at the end of the year as opposed to the half year. That was unusual, and it stemmed from 3 things. So basically, we have an extraordinary high profitability last year, as you saw in the results. You also saw a number of releases in the more long-tailed part of our book in the second half, so that releases capital. And also, you saw the interest rate moves that were favorable when it comes to supporting the requirement for capital in our business. So it was more to point to the fact that the dynamics you saw in '24 are different than what you should ordinarily expect in the business that we run. And then the dynamics around half year, you should see that as the year-end, calculated solvency capital ratio plus the own funds generated in the first half year. So that brings us to the 287%. But ordinarily, you should also anticipate that you can say, the requirement for capital will decrease the solvency ratio at the end of the year because we also factor in the need for capital to invest in future growth and so forth at the end of the year.
Adrian Peter Cox: So the SCR ratio currently does not contemplate the 2026 business plan.
Barbara Plucnar Jensen: Yes, exactly.
Operator: We'll now move to our next question from Darius Satkauskas from KBW.
Darius Satkauskas: Two, please. So the first one is just coming back to sort of Will's question. So your under this kind of combined ratio was 84.9%, in line with mid-80s guidance, but then you saw sort of close to 4% rate decline. I suppose, is there anything in your mid-80s guidance for the year on top of conservative view of the attritional that should help us think about the optionality you have in maintaining the guidance next year despite the rate decreases. So anything in terms of prudence, or on used margins? Any color on that would be helpful. The second question is, are there any lines that you write that are both adequate and are seeing headline risk-adjusted rate increases? Or is the market softening across the board and the only premium rate increases are on lines that may not be priced adequate?
Adrian Peter Cox: So on the first one, I think as we've remarked, we are -- and as the reserve adequacy shows, we're very confident about our prior year book. And so we continue to expect reserve releases to be relatively consistent for a while yet. And as the kind of tactical and strategic cycle management actions that Paul was talking about, combined with the new investments we're going to make, should enable us to keep the combined ratio at the levels that we need. And that's a combination of stuff that we've already done and stuff that we will continue to do. And that's the skill of running a specialty insurer. Do you want to take the second question, Barbara?
Barbara Plucnar Jensen: The second -- that was around the headline?
Adrian Peter Cox: What was the second question again, Darius?
Darius Satkauskas: So just a question of the price adequacy and headline adjusted rate increase, anything that sees both rather than...
Adrian Peter Cox: So are we seeing areas where we've got more rate than we need and the rates are going up? And there are some niches there that's happening. But I think the overall rate decreases that we're seeing reflect the fact that rates are pretty good. So although rates have gone down by nearly 5% overall this year, the rating environment, the prices we're getting are still generally good enough and whether not we are shedding that business. I think the overall message is, and we've kind of -- we kind of said this at the year-end. The competitive marketplace makes it harder to grow, not necessarily because prices are inadequate, but because if everyone's looking to grow, it's just harder to get that new business. So I think it's -- I think the rate decrease isn't necessarily a sign that rates are inadequate. It's just a sign that it's more difficult to get new business because everyone is looking to do the same thing.
Paul J. Bantick: Yes, there's no area right now where you'd say we're seeing market conditions like we've seen in the last few years on recent lines like cyber, property and D&O. But as Adrian said, we feel good about the price and adequacy of the book and how we're managing that.
Barbara Plucnar Jensen: And the risk selection in the first place.
Darius Satkauskas: I suppose my question is more, are there any lines where our expectation of your underwriting profitability should be getting better rather than worse, irrespective of whether it's price adequate or not?
Adrian Peter Cox: I think conditions are relatively consistent across the book, Darius, so no. Nothing of any size.
Operator: And our next question is from Ivan Bokhmat from Barclays.
Ivan Bokhmat: My first question would be related, I think, to your large losses. You mentioned that attritional performance remains very good and better than expected, but it's quite hard for us to see from the outside. Maybe you can share some color on the first half experience with large losses? I mean whether that's the California wildfires, you could update us on the estimates. Anything meaningful in the manmade or cyber side. I mean, how can we see that attritional loss ratio strength from your side? And my second question would be on cyber. Just wondering what can we expect from growth in second half? Because I think in 2Q, if I adjust for pricing, the growth was negative despite what could be considered FX tailwind, I suppose. And maybe on the net insurance revenue side, I mean, considering the increased session rate, do we expect for -- can we expect for 2025, the net insurance revenue in cyber to be positive?
Adrian Peter Cox: Well, I'll take the first one. Do you want to take the second one, Paul? Can you take the second one? Okay. I think if you look at our loss ratio year-on-year, Ivan, it's gone up by 1 point something percent. And I think that's -- and if you think of attritional loss activity has been relatively consistent year-on-year, i.e. better than expected, the difference between the 2 years is the difference in our activity that we've seen. I think the bigger driver of the increase in combined ratio is the expense ratio, which is mostly us adjusting earlier for incentives than we usually do. So hopefully, that allows you to unpick a little bit between the attritional and the cat losses.
Barbara Plucnar Jensen: Yes. And I think just to add to that, bear in mind, even that last year, in the first half, there were no large losses. So you can say from that component, we're more back to a normal level in what you see this year.
Paul J. Bantick: Yes. Cyber growth for H2. What you're seeing with the first half is, there's 2 stories going on within those numbers. I think the first is, yes, we've taken some risk off the table in the U.S. cyber market. It's been very competitive. And as we said, we started to push for flattening rate and achieve that at the half year, which is one of the busiest renewal periods versus July. So that's extremely positive for U.S. side, but we'll see where that goes for the next 6 months. It's hard for us to predict when the market starts to recalibrate and sort of we get respond. But we are optimistic, and we've always said at some point, the cyber market in the U.S. will need to show positive rate. And the first sort of act we've taken on that is to push for flattening rates. So that will be interesting to see how that goes in the second half of the year. Although it looks like shrinking in totality for the first half of the year, our international or non-U.S. business has grown, particularly in Europe, particularly in Asia. We expect that to continue for the second half of the year. We're not experiencing the same pricing challenges and the same frequency and loss challenges that the U.S. market has broadly been experiencing. So I think when we look at the cyber business for the second half of the year, it's very short-tail in nature. We'll have to see how the U.S. fattening rate goes and where that moves to and international growth continues to look promising.
Adrian Peter Cox: Price are lower internationally. And so it hasn't offset the risk that we've taken off the table in U.S. If the U.S. starts to turn around, that motor kick into action quite quick.
Barbara Plucnar Jensen: And sorry, then the last question you had, Ivan, was that to net insurance growth? Or was it to the IFIE?
Ivan Bokhmat: No, the net insurance growth, please?
Barbara Plucnar Jensen: Yes. Okay. Well, bear in mind for the net insurance growth, you have the impact of reinsurance. And as we mentioned in this half year, we have acquired some more. So that has a drag on the net insurance written premium compared to the gross written premium. And therefore, over time, if everything is the same, you would expect those 2 to be more equal than the 1.5 percentage points difference that you see in this half year.
Operator: And we have a follow-up question from Kamran Hossain from JPMorgan.
Kamran Mark Hossain: I just wanted to come back on the 2H mid-single-digit piece. So I didn't get the chance to come back and follow up again on it when I was on. On the -- I was just really intrigued because I guess, Specialty, you're flagging there's a slowdown in H2. You're talking about mid to single digit. The first half was quite a bit lower. What are the key areas that actually kind of will see growth to get to that mid-single digit in H2?
Adrian Peter Cox: Yes. As I said, I think we expect continued growth in MAP and in Europe. We're more optimistic about Cyber and D&O than we were. And we're also seeing signs of moderation on the property side. So we're expecting a more positive performance from a growth perspective from those divisions in the second half than we had in the first.
Operator: And we have a follow-up question from Will Hardcastle from UBS.
William Fraser Hardcastle: Well, that might have been me. I might have muted, sorry. You just thought after all this time, I'd get used to this. Hopefully, it's 2 quick ones. The first one, just -- is there any verification on any moving part within the Russia-Ukraine aviation case reserve development, if you're able to say that? And the second one is just trying to exactly verify that capital management policy. You've given a really good helpful exercise there. But when do we think -- when you set that 170% and because that chart there sort of shows it post the stresses, should we really be thinking it's 170% plus the stress? And then we think about the other things you've talked about? Or is that too punitive?
Adrian Peter Cox: Nice easy second question. Yes. So it's 170% plus stresses and then whatever we need for growth. That is exactly how we think about capital management. Not much to say on the Russia Ukraine thing. We are a minor following market in all this. So we are participants, and our claims team are heavily involved in it, but it hasn't had a bearing on our half year results, no.
Operator: And we have a question from Ben Cohen from RBC.
Ben Cohen: I just wanted to ask on the total expense ratio, how quickly you should expect that to come down. I guess, from recent years, actually, I presume you're still a couple of quite good years to earn through that is going to continue to impact that? And maybe could you say a bit more about structurally when you see leverage coming through on the overall expense ratio because I guess that's been moving the other way.
Adrian Peter Cox: Thank you, Ben, and nice to talk to you. That is a perfect question for our CFO.
Barbara Plucnar Jensen: Thank you, Adrian. No, 2 different things to add to this question, and thank you for that. One is obviously the fact that we're acknowledging that we have had some really strong years. And therefore, that the impact of the incentives is clearly visible in the expense ratio. But this year, in particular, you also have the timing impact because in prior years, we have always taken that in, in Q3, whereas this year, it's been moved forward to the first half year, so we recognize it as early as we have visibility on it. So from that point of view, it's more a timing issue within the year, but then obviously, the strong performance in prior years, bearing in mind our programs that take into account several years will have an impact as we have seen the last couple of years, really strong performance. Added to that, though, is the fact that we're investing in efficiencies that I also mentioned. And you can see in the coming years, you should see a positive contribution because that will allow us to be more efficient in the way that we support the continued growth in our business. So a few moving bits, but definitely one where incentives has a specific position, but all the work that's been done around strengthening the way that we work with technology and so forth should start having an impact in coming years.
Ben Cohen: And is there -- sorry, just to follow up, is there an increase in geographical element? Or are you now sort of really do you have the offices where you need them and you have that office base and the people there? Or is there still more to be done there?
Adrian Peter Cox: Broadly speaking, yes, I think we may open up 1 or 2 more offices in Europe or in the U.S., but essentially we have the footprint where we wanted at the moment, yes.
Barbara Plucnar Jensen: I think the important part is that we have the 3 platforms and have the ability to access the markets where the demand is.
Operator: This was the last question today. I'd just would like to hand the call back over to Adrian Cox for closing remarks. Over to you, sir.
Adrian Peter Cox: Great. So thank you very much, indeed. Thank you for all your questions. Thank you for dialing in again. If you have anything you'd like to follow up on, please contact Sarah. And have a great day. Thanks so much, everyone.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.